Operator: Greetings, and welcome to the Trinity Biotech corporate update call. [Operator Instructions] As a reminder, this conference is being recorded.
 It is now my pleasure to introduce your host, [ Eric Rebner ]. Thank you, Mr. Rebner. You may begin. 
Unknown Attendee: Thanks very much and thank you for all for joining us today to review Trinity Biotech's entry into the wearable biosensor market and associated intended partnership with Bayer and its amended credit agreement and strengthened investment relationship with Perceptive Advisors. We will also touch on the company's Q3 2023 results.
 Joining us on today's call are John Gillard, Chief Executive Officer; and Des Fitzgerald, Chief Financial Officer. Before we begin, please note that statements made during this conference call may be deemed forward-looking within the meaning of federal securities laws. These statements are subject to known and unknown risks and uncertainties that may cause actual events to differ from those expressed or implied in such statements.
 These risks include but are not limited to those set forth in the risk factor statement in the company's annual report on Form 20-F with the Securities and Exchange Commission. Trinity Biotech undertakes no obligation to publicly update or revise these forward-looking statements to reflect events or circumstances after today or the occurrence of unanticipated events.
 Please also note that description of the transactions on today's call do not purport to be complete and is qualified in its entirety by reference to the transaction documents which will be included in Form 6-K to be filed with the U.S. Securities and Exchange Commission.
 With that said, I will now turn the call over to CEO, John Gillard, after which we will open -- after which we will let you know that you can ask us questions by using the e-mail associated on the press releases.
 John, the floor is yours. 
John Gillard: Thank you, Eric. Hello, everyone. I'm very excited to speak to you today in my first investor conference as CEO about the recent Waveform transaction, which we believe marks the beginning of Trinity's transition into a global leader in wearable biosensor technology. Behind the scenes, we've been spending a significant amount of time evaluating options to drive the company's future and I'm eager to tell you about our vision and plan moving forward.
 We have engaged a group of industry-leading consultants with whom we have collaborated to assess markets, conduct extensive technical due diligence and map out development and commercialization scenarios. We have combined this work with Trinity's 30-year health care industry experience and the insights that our new management team bring from other industries and companies to develop our reinvented vision for Trinity, a vision built around the modern technology and health care landscape.
 This vision is ultimately focused on developing a range of wearable biosensors to deliver analytically driven health and wellness insights based upon what is happening in, on and around the body. Compared to sporadic and/or infrequent lab testing that combine disjointed small and often analyzed datasets, biosensors have the capability to regularly and frequently capture large enriched and digital datasets.
 We believe this will be critical in training and fueling the next generation of diagnostics and wellness insights, which in our view will be powered by artificial intelligence. Of the 3 pillars required to build artificial intelligence-powered diagnostic and wellness insight models, 2 of them being software and computing power are relatively broadly available through cloud computing services.
 It's the third access to large accurate data models that we believe is likely the largest constraint to development and where we believe biosensors can play a critical role. On this call, we will explain why we found the opportunity so compelling and why we think that Trinity can succeed in this large, developing and important market. Those who have followed Trinity's story know that we have been providing accessible high-quality HIV diagnostics throughout the world since 1996 and currently manufacture over 30 million diabetes HbA1c tests annually.
 Leveraging these strengths, we are now reinventing and repositioning our company towards a future and wearable biosensor technology and artificial intelligence-driven insights. We've acquired a wearable biosensor technology platform from Waveform that offers a proprietary needle-free, reusable and affordable Continuous Glucose Monitor or CGM.
 We believe that this Trinity biosensor technology will initially allow us to launch a state-of-the-art CGM that delivers a lower annual cost of care compared to the current main market participants. This should allow us to bring this important care solution to the vast number of potential users who currently don't have access to this technology due to the cost of care of existing solutions.
 These people can be, one, users in low or middle income countries where public or private peer resources are insufficient to provide broad access to CGM. As I will talk through later, many of the countries where diabetes is growing at its fastest rates are lower middle income countries, meaning this is an ever increasingly important problem to solve. And two, diabetics in high income countries where public or private payer budgets are exhausted by paying for the current CGM solutions across only a portion of the diabetic population.
 Frequently, this shortfall is attributed to financial constraints and many countries only cover insulin-dependent diabetics rather than offering the solution to non-insulin-dependent or pre-diabetics who could use CGM to manage and prevent the progression of their condition. As we all know, prevention is better than cure.
 The acquisition of the Trinity biosensor technology was made on what we believe are attractive terms and I will walk you through those specific shortly. Our development and commercialization of this new technology will be supported by existing capability in high-volume, high-quality medical device manufacturing and global regulatory and distribution expertise. We expect to kick-start our scaled commercial launch of this new technology through commercial partnerships, the first of which with Bayer in China and India, we are delighted to also announce today and which we will speak more about later in this call.
 Trinity has a long history of working as a key partner with some of the largest health care industry participants globally and we look forward to building a strong and mutually beneficial relationship with Bayer.
 As I mentioned, in the Trinity biosensor technology, we have acquired an innovative wearable biosensor technology, which we believe has applications beyond CGM in being a key data capture component in the move towards artificial intelligence-driven diagnostics and wellness insights. At an industry level, going forward, we expect that developments and artificial intelligence, including machine learning, provide immense opportunities to deliver personalized, visible and actionable health and wellness insights to users.
 This is where we believe diagnostics is going. However, a foundational requirement to capture such insights will be the convenient capture of accurate multifaceted data points about what is happening in, on and around people's bodies. As such, we believe that the delivery of an accurate, multipurpose wearable biosensor technology can unlike existing solutions that arguably only offer a pinhole view of what is happening, instead effectively be a window into people's health and will be absolutely key to unlocking the value from these broader technology revolutions and we intend to build that data capture technology in tandem with developing a sophisticated and multipurpose analytical platform that can deliver insights to digital devices including smartphones, smart watches, et cetera.
 The Trinity biosensor CGM has a number of attractive points of differentiation versus the current market-leading devices. Notably, it features proprietary needle-free insertion of the wearable biosensor, which reduces pain and tissue trauma at the injection sites and also offers more user comfort. All other major marketable wearable CGM devices require a needle which creates trauma at the injection site by puncturing the skin and this needle is then withdrawn and needs to be disposed of together with its applicator.
 In contrast, the Waveform device allows for reusability of the applicator as there is no needle for disposal. In addition, all of the components of the CGM solutions offered by the current main market participants must be discarded in their entirety after use, i.e., 10 days to 2 weeks. This includes the battery, electronics and plastic housing.
 In contrast, the main components of our new technology including the battery, electronics and applicator are reusable for up to 2 years, resulting in a lower cost of goods in terms of an annualized cost of solution and substantially less waste from an environmental perspective. The reusable nature of our electronics allows for the cost-effective incorporation of additional sensor technology details of which we will keep confidential for now given commercial sensitivities, but we will update the market on these in due course.
 These features make the product ideal for low-to-middle income countries where cost sensitivity can be a gaining factor to scale CGM adoption and should significantly reduce the cost of care to both patients and payers alike in higher income countries allowing for a broader adoption of CGM as a standard of care for diabetics.
 The generally accepted measure of CGM accuracy is Mean Absolute Relative Difference or MARD. The Waveform device achieved CE mark approval in 2019 and published clinical studies have demonstrated a MARD of less than 10%, which is brought in line with the published MARD of the main market participants. While the Waveform device was commercially launched in a limited number of European countries, we are not going to continue sales of the current device as we believe it would benefit from upgrades in its feature set, considering today's user expectations including in terms of calibration frequency, look and feel plus manufacturing process improvements to facilitate manufacture at high volume.
 After our extensive technical due diligence and development road mapping in partnership with an internationally recognized technical consulting house, we have identified a discrete number of product and process improvements. In particular, we as an experienced and high-volume manufacturer of quality medical devices have identified manufacturing improvements that can improve real world performance and user experience.
 These enhancements should fundamentally upgrade the product feature set and performance and deliver a more consumer-friendly and compact product. Our immediate plan, which we have already started, is to execute on these enhancements and confirm their impact in a clinical trial, which we aim to begin in 2025. In order to drive this program, we have hired a number of senior Waveform leaders and are engaging internationally recognized external experts to augment our internal resources.
 We will update the market on our progress in due course. It's important to note that we are not starting from scratch. Although we are not continuing sales of the current version of the Waveform product, we are going to build on that significant prior investment foundation on earlier device development. We understand that over $100 million has been spent to-date on the Waveform technology. We expect to complete final improvements through commercial re-launch with a relatively modest incremental outlay compared to the size of the financial opportunity that exists for this technology.
 This investment allows us to reinvent Trinity by better utilizing our existing platform of capabilities in the medical devices space to bring cutting-edge technology through to its final stages of development and commercialization in high value in expanding markets. We believe that an opportunity like this to acquire well-progressed but not yet market-optimized technology on attractive terms provides an exciting and compelling opportunity for our investors to benefit from significant capital value growth. The market for CGM is clear and proven with the 2 largest players in the market Dexcom and Abbott both currently generating revenues of greater than $1 billion a quarter based on recently disclosed information.
 As I've mentioned, we believe that the reusable nature of the sensor applicator, battery and electronics has a significant impact in terms of the cost of goods of an annual solution using our technology. This can translate into a lower cost of care solution and a significantly lower environmental impact. Trinity's reusable applicator is extremely environmentally friendly when compared to the disposable technology of market-leading devices.
 Our competitors discarded approximately 50 to 70 applicators for every one applicator discarded by Trinity's acquired CGM system depending on the use life of the competitor products. In addition, by discarding batteries, transmitters and circuitry with each sensor, our competitor solutions generate significant pollution and cost. Our reusability is a strong differentiator as it reduces pollution and waste while also allowing a lower cost solution to users.
 Additionally, as we look to expand our biosensor capability across other areas, the reusable device should allow for the cost-effective incorporation of additional sensing capability into the device to make it multifunction and increase its measuring capabilities. We are very excited about this prospect.
 The global diabetes market continues to grow. According to data produced by the International Diabetes Foundation, disease prevalence is expected to grow from 537 million adults in 2021 to approximately 640 million in 2030 with approximately 80% of those based in low-to-middle income countries where our independent market research indicates the rate of CGM adoption is lower than established markets like North America.
 All of these markets need an affordable and high-quality CGM device and the growing prevalence of diabetes in established high income countries, combined with the trend of consumer spend on wellness technologies such as smart watches leads us to believe there is a substantial and growing market for CGM into the future.
 For example, our market research studies have shown that CGM use is in its infancy in Brazil, a country where we currently have a market leading position in providing diabetes HbA1c tests. Brazil has a significant and growing diabetic population with approximately 16 million diabetic patients. We believe that providing an affordable CGM to markets like Brazil can increase accessibility and more broadly, our market research suggests that an affordable device will increase usage globally.
 As such, MARD rather than merely competing with the main market participants head-to-head in the same regions and at the same price points. We believe that our CGM device can drive geographic growth through increasing penetration of CGM devices in these markets by tackling the cost of care barrier to broad adoption of CGM. Our established brand as a global provider of quality diabetes tests should be a powerful tool to drive commercialization of our CGM and global markets. Our partnership with Bayer is designed to further unlock these opportunities in China and India and I will speak further on that shortly.
 Through market analysis and feedback with key opinion leaders, we've confirmed that we are pursuing an attractive and growing market where in addition to the established global level of Type 1 diabetes, the global prevalence of obesity and Type 2 diabetes is growing. We also appreciate that in the established markets, payers have significant influence in the CGM industry and often use costs to select regulatory approved devices for reimbursement.
 Our research suggests that CGMs are currently used primarily by Type 1 diabetics and Type 2 diabetics who are insulin-dependent and/or who have a history of hypoglycemia. However, as utilization further advances to more of the Type 2 diabetic population and governments continue to broaden the reimbursement patient base, we expect to see more price sensitivity from patients who are paying copays as well as from government programs that purchase these devices.
 Additionally, there is an increased uptake of CGMs being used in everyday life outside of the current reimbursement bodies with increased non-insulin based on dependent Type 2 diabetics, people with pre-diabetes and even non-typical users who have no history of diabetes beginning to understand the health and wellness benefits of continuous are sporadic CGMs users. In this regard, the current CGM offerings are generally too expensive for wide adoption by these users. By developing a low cost reusable CGM through our acquisition of the Waveform assets, we believe we can increase the affordability and accessibility for these users.
 With the cost of care of the main existing market participants, it is difficult to see how widespread adoption of CGM can be achieved in the short to medium term, if ever, especially in low-to-middle income countries and non-insulin-dependent cohorts. We believe that this technology is too important to just passively rely on time to drive adoption.
 We want to be a catalyst for enabling access to this critical technology in the same way we have for HIV testing technology. The inherent lower costs of care of our solution should collapse the time line for broader adoption across 2 vectors, one geographically; and two, penetration to other user cohorts. By driving adoption across both growth vectors, we believe we can drive significant market expansion for this technology. These tailwinds make us extremely enthusiastic about the opportunity for Trinity and its shareholders.
 Critical in our search for new product opportunities was a recognition that many of Trinity's existing and well-developed capabilities as a 30-year-old global diagnostic company could provide a higher return to our investors if they were directed to new technology areas with true potential to scale to an extent appropriate for a modern public company. As I already mentioned, Trinity has built significant expertise in the diabetes area over the last decade or more, growing our diabetes HbA1c testing business to over 30 million tests per year. As such, we know diabetes. We have numerous products approved by health care regulators across the globe, including the FDA, World Health Organization and CE mark approval in the EU to name but a few. As such, we know regulation.
 Finally, we know how to consistently deliver critical medical devices to aid the management of epidemics globally. Trinity was established in the midst of the AIDS crisis to develop and deliver an affordable quality medical device that has played a critical role in the management of HIV across many countries for well over 20 years, something our company is rightly very proud of.
 Today, diabetes and obesity are some of the most pressing health care challenges facing populations globally and we believe that with the acquisition of the Waveform Technology, Trinity is again well-positioned to make a very meaningful contribution to the management of an epidemic this time on a global scale. While recognizing and appreciating the importance of those who have contributed to Trinity's capabilities to-date, we have also recognized the need to bring in fresh talent in key senior positions.
 Over the past 3 years, we have hired senior individuals with track records of achievement in some of the largest life science and technology companies globally. These people were hired so we were well-positioned to execute on a high growth potential opportunity such as this. We believe that the combination of the new Trinity team with key hires from Waveform and internationally recognized external experts has created a formidable and motivated team who can drive this vision to success.
 We have today also announced that we have entered into a non-binding letter of intent with Bayer to establish joint partnerships with Bayer in China and India, which we are very, very excited about. The China joint partnership intends to leverage Bayer's significant and well-established presence in the Chinese health care market, particularly diabetes and is intended to lead to the launch of a low-cost, high-quality CGM device designed to increase affordability and accessibility of diabetes care.
 Diabetes is a major health concern in China with a significant and rapidly growing diabetes prevalence rate. In addition to the proposal to enter the Chinese market, the letter of intent includes a framework for the intention to launch a CGM device in India. India faces a significant public health challenge with over 100 million people living with diabetes and a rise in both Type 1 and Type 2 diabetes. To-date, CGM use in India is not widespread, but has been trending higher recently with increasing awareness about self-care.
 Bayer Pharma India has a strong presence in the diabetes market with brands like Kerendia and Glucobay. With a low cost offering, this partnership intends to increase access to CGM technology across India providing a innovative and affordable path to high-quality health care. We believe that the combination of Bayer's strong local commercial presence and Trinity's ability to manufacture a low cost and innovative CGM device on the back of the Waveform asset acquisition can drive our collaboration to a market-leading status in China, aiding both patients and physicians with the management of diabetes in a data-driven and scaled way.
 In addition, Bayer's established presence in the diabetes market in India provides an ideal partnership for us to drive adoption of CGM in this strategically important and expanding market. I believe that this development demonstrates the value that can be created for Trinity shareholders through the company's revised strategy.
 Now let me walk you through the attractive terms for this transaction. We believe that it was important from a capital structure and risk perspective that we used a balanced mix of equity and debt to fund the acquisition. As such, we have made an upfront cash payment of $12.5 million plus issued 9 million Trinity Biotech American Depository Shares or ADSs in exchange for all the assets related to Waveform biosensor business.
 This includes all intellectual property including a number of patents in this field and manufacturing and development equipment. Waveform is part of a portfolio company of our current principal lender Perceptive Advisors and the 9 million ADSs being issued by the company as partial consideration for the acquisition of the Waveform assets will be issued to Perceptive. As set out in the press release, additional contingent consideration may also apply.
 We are also very pleased to have strengthened our investment relationship with a large scale and specialist health care investor such as Perceptive Advisors with Perceptive now becoming our largest investor with an almost 20% equity holding and significant debt investment. We have also updated our credit agreement with Perceptive to provide greater liquidity and lower cost of borrowing to our company.
 Under the amended credit agreement, we have immediate access to an additional $22 million of funding and are deploying $12.5 million of this to acquire the Waveform assets. The remaining $9.5 million is available for general corporate purposes including the further development of the CGM and biosensor technologies. We can also draw down on another $6.5 million of borrowings for general corporate purposes and further development of the CGM and biosensor technologies at any point between April 2024 to December 2024 thereby providing further liquidity to fund the CGM and biosensor technologies.
 The amended credit agreement also immediately reduces the annual rate of interest in the loan by 2.5% to 8.75%, plus the greater of the term Secured Overnight Financing Rate or SOFR or 4% per annum and allows for further 2.5% reduction in the annual interest rate to 6.25% plus the same terms once the amended term loan falls below $25 million. In addition, the amended loan has the early repayment penalty, thus reducing the cost of early repayment.
 The amended term loan continues to mature in January 2026. In addition, in connection with the amended term loan, Perceptive will receive new warrants to purchase an additional 2.5 million ADSs and the company has agreed to price these additional warrants and reprice the warrants to purchase 2.5 million ADSs previously issued to Perceptive under the regional term loan to an exercise price of USD 0.44.
 The amended term loan significantly reduces the company's revenue covenants, which will enable the management team to focus on profitability rather than an over-focus on pure revenue growth. We're excited to have strengthened investment to have a strengthened investment relationship with the specialist health care investor of the caliber and scale as Perceptive.
 Before I hand you over to Des to discuss Q3 2023 results, I will take a few moments to update everyone on the new management team strategy and priorities for the company outside of our move into wearable biosensors. We are also very focused on meeting our both opportunities in our rapid HIV testing business and much improving its cash generation profile. We are working to scale and optimize our rapid HIV testing manufacturing capacity in light of the successful launch of our TrinScreen HIV product in Kenya with the team at our Irish manufacturing site aiming to at least triple manufacturing output for 2024, so we meet the expected 2024 TrinScreen orders.
 However, I am very conscious that we do this in as cost and cash efficient manner as possible. We do expect this to be initially margin percented dilutive as we scale given the price point of TrinScreen HIV. However, in conjunction with scaling production, we are actively pursuing a location move of some aspects of our rapid HIV products, which should very significantly improve the margin EBITDA and cash generation profile of our rapid HIV business.
 We are aiming to have these in place by the end of 2024. We continue to focus on significantly improving the cost structure of our existing diabetes HbA1c testing business, which we would expect will improve the profitability, cash generation, ultimately the value of that business. The 3 initiatives we set out in our October 2023 press release are progressing well and we remain on track to deliver approximately $4 million of annualized recurring cost savings from these initiatives and we believe that these initiatives will also allow us to deliver an increasingly cost competitive diabetes HbA1c solution, putting us in a stronger position to grow market share over time.
 We also continue to critically examine other aspects of the manufacturing structure of our overall hemoglobin business with a view to further significantly reducing the cost of operations. We are also seeking ways to identify the most value accretive use for our other smaller businesses and have engaged external consultants to support our examination of the optimal path to value accretion for these businesses. This review remains ongoing and there are some potentially exciting paths available.
 We will update shareholders in due course as we solidify plans for these businesses. Overlaying each of our business segments is a key focus on profitability through optimizing our revenue and cost cycles. This new management team is focused on discipline and relentless execution on these priorities.
 I will now hand you over to Des who will walk you through preliminary results for Q4 2023 and Q3 2023 financial results. 
Des Fitzgerald: Thanks, John. Before I get into the details of the third quarter results, I'd like to take the opportunity to express how excited I am to be joining the executive management team of Trinity Biotech at this juncture. Today's announcement of our acquisition of the Waveform assets, our non-binding letter of intent with Bayer and our amended credit agreement and strengthened relationship with Perceptive really marks what we believe is the beginning of an exciting transformation of Trinity Biotech as we aim to become a global leader in wearable biosensor technology.
 Firstly, I will briefly speak to our preliminary Q4 2023 results. We expect revenues for the fourth quarter 2023 to be between $13 million and $14 million with growth margin percentage to be broadly in line with the reported growth margin percentage for Q3 2023. Our Q4 margin is expected to be negatively affected by a raw material supply issue, which reduced the amount produced for inventory over Uni-Gold HIV test.
 This issue has been resolved, but had a negative impact on our absorption of cost in the quarter, thereby negatively impacting gross margin. Our reported revenues are expected to be broadly in line with Q3 2023 for the majority of our product lines with expected reductions in our hemoglobins division and HIV division. In our hemoglobins business, we are expected to be lower than Q3 2023 as year-end shipments of products at suboptimal pricing were deferred as we renegotiate contract terms with a key customer. In our HIV business, shipments over a Uni-Gold HIV tests are expected to be lowered in Q3 2023 due to typical irregular quarter and quarter ordering patterns.
 Now I will move on to our Q3 2023 results starting with revenues. Revenues for the quarter were $14.7 million compared to $15.7 million for the same quarter in 2022, representing a decrease of $1 million. This decrease was primarily driven by a reduction in revenue in our autoimmune business with the largest contributor being the previously announced loss of the transplant business -- transplant testing business in our reference laboratory in Buffalo.
 Our VTM business and [ Clinical Chemistry ] businesses experienced small declines of $0.2 million each in the quarter compared to Q3 2022, which was offset by an increase in our diabetes HbA1c business of $0.3 million and increases in our point of care business of $0.2 million driven by higher sales of Uni-Gold.
 Gross profit margin percentage for Q3 2023 was 29.2%. However, this was inclusive of an excess inventory obsolescence charge of approximately $0.9 million in the quarter. This obsolescence charge was driven by write-offs in our COVID VTM business as demand in the latter half of 2023 was weaker than expected together with small write-offs relating to our Tri-Stat instrument as we sunset that product.
 Excluding these write-offs, our gross margin would have been 35.5%, 350 basis points higher than gross margin in Q3 2022 measured on the same basis of excluding excess inventory obsolescence charge.
 Moving on to R&D expenditure of $1.2 million for the quarter, which was marginally higher than the same quarter in 2022 as we capitalized fewer costs into product developments and tangible assets. Our SG&A expenses of $7.7 million in the quarter increased by $2.5 million when compared to Q3 2022.
 This increase is due to a number of factors including higher share-based accounting charges of $0.6 million, lower foreign exchange gains of $0.4 million, restructuring costs of $0.2 million associated with our previously announced head count reductions and higher than expected consulting fees. Our professional advisory and consulting fees, which were $1 million in the quarter were $0.5 million higher than Q3 2022 and we also expect elevated fees in Q4 2023.
 These higher fees are driven by higher legal and financial advisory costs as part of our acquisition of the Waveform assets, which as an asset deal was complex and time-consuming and external consulting fees were incurred as we continue the examination of the optimal path to value accretion for some of our smaller business lines as detailed by John earlier in the call.
 We expect these fees to reduce through 2024 to a quarterly level of half of Q3 2023 expense unless we engage in additional transactions. I will make the point that we recognize that professional fees associated with the Waveform transaction are relatively large when compared to the deal side. As we structured this as an asset deal rather than a share deal, this drove a higher degree of complexity. However, it also brought increased benefits of significantly reducing the risk of the transaction.
 This all led to an operating loss for the quarter of $4.5 million compared to an operating loss of $8.1 million in Q3 2022. The lower loss was primarily due to an impairment charge recognized in Q3 2022 of $2.3 million and higher excess inventory obsolescent charge of $3.8 million in Q3 2022.
 Financial income for the quarter was $0.4 million compared to $0.3 million for Q3 2022 related to fair value adjustments to warrants granted. Financial expenses in Q3 2023 of $2.4 million were slightly higher than Q3 2022 due to higher interest rates in the period.
 The loss after tax for continuing operations for the quarter was $6.7 million compared to a loss of $10 million in Q3 '22. The key drivers of the movement being the previously mentioned impairment charge and higher inventory obsolescent charges in Q3 2022. Loss before depreciation, amortization, tax, interest and share option charges was $3.5 million for the quarter. Basic loss per ADS was $0.18 compared to $0.24 in Q3 2022.
 Finally, I will discuss our cash flows for the quarter. Our cash balance decreased from $14.2 million in Q2 2023 to $6.3 million in Q3 2023. Cash used by operating activities is $4.7 million, which was inclusive of a net working capital investment of $2.3 million.
 I will now hand you back to John. 
John Gillard: Thank you, Des. To revisit for a few moments the broader opportunity from our acquisition of our new biosensor technologies. Our longer term aspiration is to pursue platform expansion into adjacent wearable biosensor technologies to measure other important biomarkers and health metrics and provide essential data and artificial intelligence-enabled health and wellness insights. We do intend to expand this technology beyond CGM.
 We believe that some of the differentiated features of the acquired biosensor technology lend themselves very well to more comprehensive data capture and analytical solutions. We will reveal more about these plans as we advance them, but we are very excited about coupling this platform biosensor technology with broader technologies including machine learning to develop products and services that give valuable insights based upon what is happening in, on and around people's bodies.
 To wrap up, we are extremely enthusiastic about our plans for this wearable biosensor technology and the broad opportunities that lie ahead for Trinity. We are delighted to be partnering with Bayer in this important endeavor and finally, to our strengthened investment relationship with Perceptive Advisors, we have secured the financing to immediately execute on our vision.
 I'd like to take this time to thank you for your attention and engagement and I'll now hand you back to Eric. Thank you. 
Unknown Attendee: Thanks, John, and thanks, everyone, for listening to our call. If you do have any questions, please e-mail them at investorrelations@trinitybiotech.com or you can call us at (646) 751-4363. I will now turn it back to the operator. 
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.